Rafael Russowsky: Good morning, everyone, thank you for standing by, and welcome to the Earnings Conference Call to discuss the Results of the Third Quarter of 2025. With gross margin at a solid level and discipline in controlling expenses, we achieved results that reflect a highly committed effort and a clear focus on efficiency and profitability. These advances are even more relevant when we look at the current macroeconomic outlook, which remains very challenging with high interest rates, selective consumption and high competitiveness in retail. Moving on to the results of the quarter on Slide 3. I will start with the sales pillar. Total sales reached BRL 4.9 billion, a 2.2% increase over the same period last year. Same-store sales grew 4.1% with a highlight for Extra Mercado, which accelerated and grew 5.5% compared to the previous quarter last year, reflecting the positive effects of the assortment review and category management project, which began at the end of quarter 2 '24, and over 60 stores that were remodeled over the 12 past months. PÃ£o de AÃ§Ãºcar remained strong with a 3.5% increase in same-store sales, reflecting the consistency and strength of the premium brand's value proposition. The Proximity format also stood out with 17.3% growth in total sales, driven by the opening of 49 new stores in the past 12 months. In e-commerce, we continue on a solid growth trajectory. Total sales reached BRL 604 million in the quarter, an increase of 9.8% over the same period in '24, totaling BRL 2.4 billion in the last 12 months. All brands grew with Extra Mercado once again standing out, increasing its penetration in this channel by 2.4 percentage points. E-commerce accounted for 13.1% of the group's total sales, an increase of 0.7 percentage points over Q3 '24, driven by the evolution of the sales mix, mainly with the growing advance of digital penetration in the Extra Mercado and Proximity brands. This performance reinforces the effectiveness of the 100% ship-from-store model, which ensures efficiency and capillarity in operations. We continue to capture growth opportunities with the expansion of the service to 60 more of its Proximity and Extra Mercado units this quarter. It's worth noting that the sales of perishable goods remain strategic, accounting for 36.1% of total sales in our 1P channel. With a pre-IFRS 16 EBITDA margin of 10.3%, digital reinforces its role as an efficient, profitable and enduring channel in our multichannel strategy. High profitability consolidates our leadership in this segment, both in our own channels and on the main partner platforms. In terms of market share, we maintain a positive pathway, advanced 0.6 percentage points in the premium segment according to Nielsen data, considering total sales in all cities where we operate with PÃ£o de AÃ§Ãºcar and Minuto PÃ£o de AÃ§Ãºcar. The Proximity format also showed a strong growth of 1.6 percentage points among small supermarkets in Greater SÃ£o Paulo, a direct result of the effectiveness of our expansion strategy in the past few years. The share of wallet of loyal PÃ£o de AÃ§Ãºcar customers grew by 1.5 percentage points, showing an increase in frequency and average spending. These advances reinforce the growing relevance of our premium and Proximity brands, which are fundamental pillars of our business strategy. Moving on to Slide 4. Profitability remains on a consistent trajectory, reflecting the company's focus on efficiency and quality implementation. Gross margin reached 27.6%, sustained by the resilience of our commercial strategy and continuous advances in store operations. In addition, specific initiatives aimed at increasing profitability stand out, such as the reduction of breakage and the evolution of the retail media front. SG&A fell to 19.5% of net revenue, an improvement of 0.3 percentage points, and we kept nominal expenses stable even in the face of inflationary pressures and a more competitive environment. This result reflects above all the effectiveness of the cost and expense reduction initiatives we have been implementing, combined with strict budget management. I could also highlight that in Q3 '25, we moved forward to the second stage of our administrative structure simplification process. This new phase accounts for annual savings of BRL 90 million, added to the first stage implemented in Q4 '24 totals annual savings of nearly BRL 190 million. As a result, adjusted EBITDA margin rose to 9.1%, possibly the best margin in Brazilian food retail, even in a challenging environment. This consistent evolution reinforces the strength of our operation and give us the flexibility to calibrate promotional levers, balancing profitability and competitiveness. Finally, on Slide 5, I'd like to highlight that this quarter, we reversed the sequency of previous losses and recorded a net profit from continuing operations of BRL 145 million. This was possible by the federal -- the BRL 480 million losses accounted in the line on the liquid net. This recognition was possible due to the changes in the federal regulatory environment, which expanded the possibility of using these credits, including as a form of payment in federal tax transactions. It's worth noting that between '24 and '25, the company has already monetized BRL 374 million in tax loss credits to settle agreements and debts of this nature, which reinforces the consistency and rationale for additional recognition made this quarter. It's also important to mention that in the beginning of this year, we settled tax contingencies using BRL 200 million in loss credits. The settlement was possible due to a casting vote decision by CARF. The credits used in this transaction have already been approved by tax authorities. At the end of the period, added to the amount recognized in the third quarter, the total balance of credits of this type activated in the balance sheet reaches BRL 1.2 billion with expectations of use over the next 10 years. In addition, the company maintains another BRL 1.2 billion in credits not yet recognized on the balance sheet, which may be reevaluated and activated in the future as new transaction opportunities arise, raising the total potential credits to be monetized to BRL 2.4 billion. Now I move -- I give the floor to [ Rodrigo ], who will discuss the results.
Unknown Executive: Thank you, Rafael. Good morning to everyone attending our earnings call. On the next Slide #6, we present the management cash flow for the last 12 months, a period in which we generated BRL 1.4 billion in operating cash flow. This performance was driven by a significant improvement in adjusted EBITDA pre-IFRS 16, which reached BRL 853 million, an increase of BRL 158 million or 23% when compared to 2024. We also had efficient management of working capital for goods, generating BRL 480 million in the period, resulting from a 12-day improvement in the working capital cycle compared to the previous period, mainly reflecting specific negotiations with suppliers and reduction of excess inventory in stores. Next, CapEx totaled BRL 675 million, a slight increase of 2.3% compared to the previous period. This increase still reflects the most significant investments made in expansion, technology and renovations in the previous quarters. A good benchmark for assessing the trend is the CapEx carried out in the quarter, which reached BRL 146 million, a 20% reduction year-on-year, already reflecting the discontinuation of the expansion target, the reduction in store renovation and the greater rationalization of investments in technology. Moving on to other operating expenses. We continue to observe reductions compared to the previous year. The line totaled BRL 718 million during the period, a decrease of BRL 83 million. Of this total, BRL 146 million corresponds to recurring effects, while BRL 570 million are extraordinary items, mainly related to tax agreements, labor lawsuits and restructurings. Finally, the total net financial cost amounted to BRL 806 million, an increase of BRL 194 million compared to the same period of the previous year. This variation mainly reflects the rise in SELIC interest rates, the higher level of net debt and the renewal of surety bonds linked to tax-related disputes. Approximately 1/3 of these guarantees were renewed this year. And in many of them, the premiums are paid in advance, which puts pressure on cash flow at the time they are contracted, though the accounting recognition occurs gradually. On Slide 7, I will present details of our financial leverage. As the chart shows, net debt increased by BRL 660 million in the last 12 months, mainly impacted by extraordinary effects already mentioned in other operating expenses and net financial costs. Pre-IFRS 16 financial leverage reached 3.1x in the quarter compared to 2.9x in the same period. I now hand over the floor back to Rafael, who will detail other initiatives aimed at generating cash flow.
Rafael Russowsky: On Slide 8, I would like to highlight the main factors on which we've been concentrating our efforts to build a cash generation trajectory that is positive in the coming quarters. As you might have seen in the publication yesterday, the top management approved the plan that was to be implemented throughout 2026. This plan has 2 main verticals. The first, an expressive reduction of CapEx between BRL 300 million and BRL 350 million. The second, a reduction of at least BRL 450 million in expenses connected substantially to support of stores and administrative structure. And in working capital, we'll continue capturing optimization opportunities by reducing excess inventories and managing suppliers and receivables more efficiently. Moving on to CapEx. We have identified significant opportunities in the past few months and the discontinuation of the expansion plan may lead to BRL 200 million. We have also initiatives to reduce over BRL 100 million based on being more strict in IT and technology processes. In the cost and expenses vertical, we have already observed a series of initiatives to optimize our operational support and administrative support. Among the main initiatives, we have the reduction of personnel already made in the previous month, the optimization of costs in communication, publicity and advertisement channels, reduction of facilities contracts, reduction of consultancies of freight and IT expenses. We have organized these initiatives into 3 main blocks: eliminations, reductions of consumption and alterations and optimization of scope. I highlight that we have an execution plan to sell nonstrategic assets in the totality of the -- they will be given to the reduction of the debt -- the growth debt so we can reach more stable levels. On Slide 9, I reinforce our sustainability agenda, which continues to be transversal and cross-cutting in the business decision. In this quarter, we launched our GPA's new sustainability strategy built on a comprehensive materiality analysis and fully aligned with the strategic pillars of our business. This new agenda reinforces our commitment to nourishing dreams and lives based on 4 main areas of action: respect for people, food, the environment and business. So this concludes our presentation of financial results. And now I propose that we open our Q&A session.
Operator: [Operator Instructions] Let's move on to our first question from Lucca Biasi, analyst of UBS.
Lucca Biasi: I have 2 quick questions on our side. First is related to the CapEx announcement considering the significant reduction for 2026. We would like to understand how we are going to look at the maintenance CapEx down the road. And my second question is related to tax credits. We would like to confirm if it would be possible to use those BRL 2.4 billion credit even with the company not being profitable. And we would also like to understand how could be the utilization curve of this credit in the short-term?
Rafael Russowsky: Luca, thank you very much for the 2 questions you asked. CapEx. As to CapEx, we are reducing it quite significantly. As I mentioned, there are some items that were completed last year. And because our expansion guidance was discontinued, we had a reduction, which was quite significant, BRL 150 million of expansion that we removed from the scope because of the mentioned discontinuation. And in addition to that, we had some renovations in Extra Mercado stores, 67 stores that were renovated. And we are also renovating the headquarters that consumed about BRL 35 million. So we can see that this amount has been reduced due to those reasons. And as I mentioned, we are being more selective in terms of projects, especially those associated with logistics and IT. So we hope to have savings amounting to BRL 100 million. So we are referring to a reduction of BRL 300 million in a mechanical manner. We should have a maintenance CapEx from BRL 200 million to BRL 250 million. And we believe that all the renovations completed and after all the moves of selecting the best stores and associated reductions, we might not need to repeat those amounts constantly. So we believe that the maintenance level would range from BRL 200 million to BRL 250 million and BRL 50 million or maybe more depending on how everything plays out, depending on the growth projects we implement. So basically, this is what I had to say about CapEx. In relation to tax credits, we'd like to make it clear that we use those credits as a result of some agreements and some settlements related to past contingencies. As I mentioned, in the last 12 months, we settled about BRL 374 million by means of loss-related credits. And this was a result of some agreements that we made with the federal government, and we settled some specific cases. I would like to mention one in particular, which was a settlement that we made in the beginning of this year because it was related to quality in the CARF that allowed us to make such settlement by using loss-related credits. There's always a period where you present the credit for the settlement and there's a period for the proper approval. So this approval period was very accelerated for that specific settlement. And that gives us confidence that the government is accepting those credits for settlement purposes. And the approval happened quite in a fast manner, providing us with the confidence that we are going to have different opportunities in the future so that we can go after different agreements. You know that we have a number of contingencies to look at. And as create those opportunities and as law also permits us to use those credits, we are going to use all those credits as money. So we have this amount of BRL 1.2 billion in the balance sheet, and we have another BRL 1 million in the books that are not activated yet. If there are potential agreements in the future that would allow us to use those credits in a more assertive manner, without a doubt, we are going to bring into our assets, and we're going to use them to -- for settlement purposes. And we will consider what we can do with the federal credits. I just would like to add something related to the recognition that you mentioned. If we look at our notes, we have BRL 660 million that are being discussed with likelihood to be approved. And so, we also look at considering the history track that we have, there is a great likelihood to use those credits when those probable amounts that we must pay, we are going to use those credits.
Operator: Our next question comes from Kevin [indiscernible], ItaÃº analyst. BBA -- ItaÃº BBA analyst.
Unknown Analyst: I have a question on my side related to the efficiency plan. Could you provide more color on the main initiatives related to the BRL 450 million cut? And how can we ensure that this cut has no impact on the stores operation?
Rafael Russowsky: Perfect. So yesterday, we had a plan. So we -- there are 2 pillars for this plan. One is CapEx. I've already mentioned some about it, some information about it. We had this CapEx reduction. And the first move that we announced was the interruption of the expansion plan that was announced a month ago. And in itself, it would be a very important step towards the new CapEx target that we're going to execute from now on. There are other initiatives that involve as I've already mentioned, some reviews in logistics I mentioned and IT as well, where the expenses are very high. In relation to costs, we are not talking about store operations, but we are talking about supporting operations. I'm going to list some of them so that you can understand what we are talking about. By the way, it's important to see this very clear so that we can follow this and the market can understand. So we have BRL 14 million. That is the minimum target for reduction. One step would be for elimination. Second would be consumption reduction and the other is to review the scope. When we talk about elimination, we are including some things like headcount reduction as announced previously, simple things like the use and distribution of leaflet. Today, we use outsourced company for leaflets, and we are going to create a more rational system so that this material can be sent to the hubs and to the warehouses. And the material will be distributed by means of our own structure, noncore systems such as internal systems that we are optimizing, and we are trying to find a way to optimize the internal systems in the stores. In this optimization front, we are considering a reduction of about BRL 104 million. As for consumption, we are focused on reducing consumption of using some services in a more rational way and we refer to logistics efficiency, reductions of some systems and also reduction of consulting services. And this can amount to BRL 100 million. And as for the scope that I mentioned, we would include an additional BRL 180 million. And we are in-sourcing some services that today we use by outsourced companies, and we are going to in-source into our activities. Advertisement, for example, we are going to direct our advertisements, and we use different channels for advertising purposes. We are going to optimize this. We are going to go after a more optimized ROI depending on the advertisement that we want to focus on. So the idea is to look at the structure to review what we can, review the scope and the consumption. We are going to be much more cautious, as I mentioned. And we are going to bring this mindset to execute our business plan in a more austere way.
Operator: Our next question comes from Pedro [indiscernible], XP analyst.
Unknown Analyst: Thinking about breaking down how the growth has been happening in the quarter. Could you provide more color on the mix and price in relation to volume? And also thinking into the future next quarters, considering the brands? And what's the consumer behavior considering how the feeding dimension? Do you see any elasticity in prices? Promotions have been bringing good results. Could you provide more information about the competitive dynamics, as mentioned in the release? In terms of gross margin, is there any impact coming from the items that I mentioned? I think this is my question.
Rafael Russowsky: Pedro, in terms of the dynamics, we have been noticing some improvement, slight improvement in the consumer behavior. Last quarter, we had -- we noticed a behavior, and this is applicable to all retail sector, as you probably saw. In spite of all the difficulties that the macro scenario has posed to us, we had expressive growth. Of course, we have to consider the performance of our competitors and the situation we're living in. So we had a like-for-like 4% increase. We are very happy with this performance. But of course, we have to consider the relative scenario that we are in. So little by little, we have been noticing an improvement in the consumer behavior. And we have also seen stable prices and volumes stable as well. As you saw in our release, we reported market share stability and that reaffirms this view, this vision into the future and provide support to my argument. In terms of price elasticity, yes, of course, we are operating in a commodity-related sector and what happens to our group. We operate in a more affluent level of society. We have some brands which are more focused on premium channel, premium population. And the problem -- the thing is that, there is less elasticity when we consider this type of consumer. As you saw, in spite of all the hurdles and all the difficulties, we managed to grew 4% on the same-store level. And at the same time, we managed to remain our gross margin without changes. We saw 26.7%. And this quarter, we are delivering 26.6% in terms of performance. And this is a very important achievement, showing especially the strength of our brands, our commercial strategy and the resilience related to our value proposition and also how the consumer sees the value in the proposition we deliver.
Operator: Next question comes from Ruben Couto, analyst from Santander.
Ruben Couto: Just a quick follow-up, and then I'll ask a question. Well, considering the expense reduction plan, do you estimate any level of nonrecurring costs that end up generating throughout 2026 because of the whole plan of staff structure, headcount structure that have affected this in the past 2 years. Do you have an idea of how this current plan can go into 2026? But my question is that, well, Rafael, the company is going through several changes in control management since the last composition of the council. Can you give us an update on what we can expect in terms of management composition and what is -- how will the company focus change besides these efforts on efficiency have been changing best practices? How can you help us understand this new moment besides these efforts on efficiency that you discussed? It will be great.
Rafael Russowsky: Well, Ruben, that's an excellent point you made. And that's the reality. We do have a paradigm shift moving forward. We see that. And the council, I mean, the Board through AndrÃ©, our Chairman and other Board members have brought into the company set of mine and an idea to work more actively. AndrÃ© has worked more actively and has tried to dive into the accounts to precisely understand where we can look for better efficiency. And this has helped us greatly to, quite frankly, reflect upon the status quo. This is a big company, an open company, open market company, we needed a more regional perspective. AndrÃ© has brought this and has brought details on prices on the number of 1,000 bags or if you should hire a truck driver or should buy the truck in itself. I mean, it's a more regional view, a more precise view on how the operation really works. And bringing this perspective into the company, into the Board, once again, helped us to reevaluate our paradigm here. In the past few weeks, in spite it's a short period, it feels like it's longer than that and has helped us to move towards this new pathway. It has helped so much, and it's a present management. As I said, it is -- I mean, for those who are in retail, they like to be -- to understand about the operation on the store operation, how cost management, they go into detail. This has helped us enormously, and this will keep us helping us and -- I mean, moving forward, too. Regarding your question, Ruben, on administrative costs, I believe that was your question. Let me remind you that we made a very important reduction movement in the headcount by the end of last year and the beginning of this year. And we have this on an annualized basis in a savings of BRL 100 million. And recently, we have complemented this action with a reduction of over 700 people, especially in the head office here. And this may bring BRL 90 million, additional BRL 90 million and a combined effect of these 2 movements in annualized result of BRL 190 million. Let me remind you all that we are coming from a very large company some years ago when we had large supermarkets, we had almost BRL 90 billion in turnover. We are still a very great company, BRL 20 million in turnover but we need to adapt to the new phases of the company with its specific needs of this company. So this is a movement we have been implementing. And in a way, it looks like it was already cut and it has been cut in the past few years. But when we look in detail, we always find new things we can do and many of them, we will see in this BRL 450 million as we have set as a minimum target for 2026.
Operator: Next question comes from JoÃ£o Pedro Soares, Citi analyst.
Joao Pedro Soares: Just a quick question, just to guide us. Now looking into these additional credits, if we consider them in terms of remaining contingency and how much of this in terms of billions of reais, how much of this is interest on fines? And if we can think of this activation of BRL 400 million in tax credits, how much we could look into realistically speaking in terms of you paying? Maybe you won't need to pay this fine on this interest rate, you may renegotiate that. If possible, can you discuss this?
Rafael Russowsky: That's a sensitive matter because we talk about very significant amounts which change or have the potential of deeply changing the perspective -- the company perspective from now on. But what I have said in the past earnings calls and in meetings with investors and analysts is that, we have tried, and this is a priority given to us by the Board. We have looked for a solution for BRL 40 billion -- almost BRL 15 billion that we have in terms of federal contingencies in the company. And to remind you all, this is -- we have inherited this. Well, I just mentioned the size of the company, and this comes as a legacy of the different changes in the company, changes we have gone through in the past few years. And then we kind of inherited this gigantic contingency that we're trying to -- been trying to solve. But once again, this is a top priority for the Board, for the company as a whole, for the investors as a whole. We have actively trying to find a solution for that. And as I mentioned, we have active discussions with the PGFN but it clearly depends on a hard discussion. PGFN, let me tell you, this is a group of people who are extremely serious people, extremely competent people. They know -- they deeply know tax issues on the companies and they understand the importance of companies in the market, in the ecosystem where they operate. They understand the social importance of companies. So they are pretty sensitive to these matters. And what I can tell you is that, of all of these people we have interacted with in these meetings is that they are highly competent and they deeply understand these issues and the importance or how important it will be for us to solve these issues. To tell you about fines on interest rates, the interest, they represent or they account for 70% of the total contingencies we have today. Why? Because when these fines or these penalties are applied, they usually are applied with a fine or it can be an aggravated fine, a simple fine or an aggravated fine, varying between 75% to 150% of the original value. So we start with inflated amounts much higher than the main or the original value that is owed. Also, these discussions, these disputes, they take years to reach a solution. And most of them, they rely on SELIC annually on the principal amount. So these amounts are updated. -- significantly, too. So to answer your question objectively, nearly 70% of the amounts represent fines and interest, and we have been actively worked towards a solution for that. We do not have any specific timing. That's a long discussion, tough discussion depending on laws and understandings. But what I can repeat here is that, the people we have discussed and talked with in this meeting, they are highly competent professionals and they understand this and that within the legislation, within the law, they have a constructive perspective towards finding solutions for these measures.
Operator: Next question comes from Andrew Ruben from Morgan Stanley. He's an analyst of Morgan Stanley.
Andrew Ruben: I'd just like to get a bit deeper on the comments on competition, specifically when you consider the different segments, different consumers with PÃ£o de AÃ§Ãºcar versus Extra versus Proximity, how the competitive backdrop varies between the 3? And again, just your outlook for how that's going to evolve.
Rafael Russowsky: Thank you, Andrew, for your question. Well, competition, the competitive backdrop is what you can see in the results that are being reported by the companies. This is a moment in which consumers, they suffer more pressure. They are more selective consumers now. We have sustained interest rates that are extremely high for several months for a very prolonged period. And even if Brazilians are used to -- I mean, unfortunately, Brazilians are used to such high interest rates. But there comes a time in which the debts in the credit cards, they accumulate and it happens pretty quickly. And then it has a higher impact on the appetite of the consumers. What I can tell you about our business is that, we have same-store growth, PÃ£o de AÃ§Ãºcar growth around 3%. It's superior growth if compared to other competitors, especially public competitors. We have seen a growth of Extra Mercado of 5.5% also on same-store basis, in Proximity 2.8% growth. So this shows our multi-format strategy has prepared us really well to face scenarios like this. We can capture these changes in customers in each of the banners -- in each of these groups of more high-end people or consumers that look more towards price, so we can work and capture these movements in a competitive manner. But what we can show based on this growth movement we have seen in this quarter is that, precisely, we have a migration of more premium basis into the more mainstream basis. So we see this difference of growth. If we compare the premium banner Proximity, most of it, is also a premium banner and is also included into more high-end neighborhoods. And also PÃ£o de AÃ§Ãºcar, which is a premium banner, and we see the growth of these 2 businesses. This is a little lower to the growth we see in mainstream outlook that can capture this when we have more focus on price and more competitiveness, it captures better. So this is what we see in terms of movements. We hope all of us, we hope that there will be a change in the economic scenario turning point that we can change the interest rate outlook, so we can find the balance again among this clientele, this customer base, which is divided into these 3 main form, the 3 main banners we operate.
Unknown Executive: Just an information, an additional information on market share. It's also important to highlight that we see premium market share, 0.6% drop in 12 months according to Nielsen data. So we have seen this PÃ£o de AÃ§Ãºcar value proposition and Proximity value proposition in spite of this more challenging scenario of the market. But -- and also the Proximity segment, we still continue to gain market share in the segment, 1.6 percentage point when we consider this perimeter of smaller supermarkets here in the city of SÃ£o Paulo. So you asked about the competition, and we see that we have in this premium and Proximity strategy, a significant advance as well as what Rafael talked about Extra.
Operator: Our next question comes from Nicolas Larrain, JPMorgan analyst.
Nicolas Larrain: I have 2 questions on my side. First is the efficiency plan. The BRL 450 million already include the BRL 190 million from the first round and the second one that you are announcing for the third quarter. I would also would like to know about the working capital. You said there's room for improvement. Could you help us understand to quantify how many days would improve so that the cash flow conditions would improve?
Rafael Russowsky: Thank you, Nicolas. Let me make it clear. There are 2 moves that were implemented that will cause impact as of this year. Last year is the first move amounting to BRL 100 million, and this is not in the efficiency plan. The other move, which is much more recent that took place in the past 2 months, especially, there is an impact. And this amounts to BRL 90 million. And this is the objective answer to your question. In relation to the working capital, maybe we had mentioned this before, but today, we run the operation. Well, when you look at the average with an inventory of BRL 1,850 million. So we have a big dispersion of store per -- of inventory per store. There are some stores that operate with a very much more optimized inventory level with the number of days much more significant than the average. We operate at an average of about 42 days, just to make it recorded here. But there are some stores that operate at 60 and some stores operate at 35 and maybe even less than those. There are some Proximity stores that have been recently opened, and the inventory level is 0. So as to say, what I mean to say is that, the inventory is very optimized. All the goods are on the shelves. So when we look at all the parameters that define the ideal inventory level, we should operate at an inventory at about BRL 1,550 million. So there is an effort underway. And on this quarter, we see the results as a result of the plan of really going to an ideal inventory level in a more direct way. Our plan is to search for the improvement in the inventory levels on average. Of course, year-end inventories are higher. But on average, BRL 1,850 million and we want to operate at about BRL 300 million less. We have BRL 40 million for each day in inventory. So we can go after something like 2 or 3 days to improve the average. And this is something that is feasible considering all the exercises, all the efforts we have been putting in, in addition to what we have already announced and disclosed with you for this quarter.
Operator: Our next question comes from [indiscernible], Bank of America analyst.
Unknown Analyst: I have 2 questions on my side. The first one is about the strategy for assets for sale. You mentioned the Proximity in the operations. How are you considering assets for sale of stores or any other type of assets? My other question is related to -- I would like to understand how can we think about the level of B2B dimension.
Rafael Russowsky: Perfect. Okay. Sale of assets. We have a commitment of selling some assets, particular assets stores or other assets. There's a willingness to sell some specific assets, more relevant assets, and we have made headway in this front, and we are going to bring information to the market at the right time. But we have a very well-defined pathway for the completion of a more significant transaction. I hope that this will happen in the short-term. And I'm being cautious enough to say what I can say without disclosing too much information about this transaction. And this is a point we are after. There is another initiative. Maybe I made some comments about it in other calls. For example, we have a project to sell or we would like to have a broker, a captive broker for us. We buy lots of insurances, collaterals and other property insurance policies, and we buy insurance of more than BRL 200 million. And we pay commissions for different brokers who help us in transactions, Willis, Aon, and other different insurance companies. They are our partners. What the European-American markets do? They do something that they refer to as cap insurance. So I establish a partnership with a broker, and we have an exclusivity agreement. And from this transaction, I may sell my exclusivity of brokerage activities. And with this movement, I can have 2 results -- 2 financial results in addition to other good results as well. The first one is with the upfront, for example, we have sales of financial services operates in a very similar way in terms of business. We sell the exclusivity, and we can anticipate some amount of present value. And we receive an amount because of this exclusivity point. And I create a system where I pay commission to that new group that was established, and I'm part of that group. So part of the commission that I pay will come back to me. So what is a center of expenses will be transformed into a center of revenues. So this is something we are also considering. And we are -- if everything goes well, we are likely to disclose to the market what we have done. In relation to allies, allies is not the core of our business. Our core is retail. Aliados is a B2B transaction considering commercial representatives to small merchants. And it's still an operation which is focused on our negotiation capacity. And considering the competitive that we see, especially in the retail market and B2B in general, we see that this competitiveness reflected in our own business of Aliados. So what's the purpose? The purpose is to take advantage of this channel as a potential possibility to reduce costs. And this is what has been happening in the past few periods. And considering the competitiveness and the reduction in the sales level, we understand that this is a more competitive business. So we are likely to have a more expressive reduction up to the end of the year in the line -- along the lines of what we have seen along the year. But next year, we are likely to have more stability in this business. Of course, in the beginning of last year, when we prepared the budget for this year, we didn't have back then the visibility of all those movements of competition that we experienced this year and the impact of Aliados as a result of the higher competitiveness, especially in the B2B and the retail market. But this is what happened along the year. So we expect that this is going to be leveled off up to the end of the year, but we keep on watching the movements in the market so that we can understand what's going to happen next year.
Operator: The Q&A session has come to an end. And now I would like to turn the floor back to Rafael for his final remarks.
Rafael Russowsky: Thank you once again for being here in our conference. Well, we are now entering the 2 most important months in retail. 30% of our total sales are made in this quarter and with the end of the year approaching. We are confident in the value proposition we've built in our different formats and different labels to meet the needs and requirements of our consumers and achieve an expressive results in the next quarter. Before I close, I would like to thank the entire team that remains committed and focused on delivering the strategic plan we have developed and set out for this year. I reinforce my commitment towards working together with the support of the Board of Directors. They have been extremely important and supported us entirely in our actions so we can move forward with consistency and focus on long-term delivery. Thank you very much for your attention, and I wish you have a good day.
Operator: So this video conference is here now -- is hereby closed. The IR team will be available to answer further questions. And thank you very much, and enjoy the rest of your day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]